Operator: Greetings, and welcome to the Endeavour Mining's Second Quarter 2015 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Neil Woodyer, Chief Executive Officer for Endeavour Mining. Please go ahead.
Neil Woodyer: Thank you, operator. This is Neil Woodyer and with me I have Attie Roux, our Chief Operating Officer and Ota Hally, our Chief Financial Officer. We are very pleased to look at the Q2 presentation and where we've had another successful quarter. Getting on for it about two years in a row now, successful quarters, and we produced or achieved an all-in sustaining cost in the quarter of $898 an ounce, which on a quarter-by-quarter basis compared with last year is about $123 lower an ounce in the same period in 2014 [ph]. We also had a record production of 130,000 ounces in the quarter, bringing our half year's production to about 225,000 ounces. So we’re well positioned to carry on and to deliver the upper end of our full year's production guidance, which was 475,000 to 500,000 ounces and the low-end of our all-in sustaining cost guidance, which was 930 to 980. I’m looking at page four, and the chart there shows the reduction in all-in sustaining cost since 2013. We also had a very significant improvement in all-in sustaining at Tabakoto, which for the quarter was about 990 an ounce compared with about 1,335 in the quarter in 2014. We were also able to contribute an all-in sustaining margin of about 7.7 million at Tabakoto. Our corporate all-in sustaining margin for the quarter was 38 million and our after-tax earnings were 33 million in the quarter, bringing our half year's net earnings after tax to about 50 million, just over 50 million. We’ve reduced our all-in non-sustaining cost in the quarter to about 3.8 million. Now we came out of the heavy capital expenditure phase of the year or so ago. And in the early July this year, we’ve reduced the amounts advanced under our debt revolving facility by another 20 million, making second 20 million reduction this year. And as of today, the net amount drawn under our revolver is now reduced to 260 million. So another successful quarter, and I'll hand you over to Ota to take you through the actual production for the period on slide five.
Ota Hally: Thank you, Neil. So at the top of slide five, we have the H2 - second or first half of the year gold produced. We see that most of the mines are, in fact, above guidance and Attie will get into that in a bit more detail. Tabakoto slightly still behind the guidance range, but we're seeing the good results and improvements that Neil alluded to earlier. Our cash cost very pleasing, as well as the all-in cost coming in at 898, following 946 in the first quarter. Our guidance range at 930 to 980, we are maintaining that. We've recognized there are some macro effects in the reduction from 2014 in the all-in sustaining cost. Between the foreign exchange and fuel that's benefiting us right now, that reduction is about 50-50. We are enjoying about $55, $60 an ounce from the prior year on account of those macroeconomics; and the other half being from the cost initiatives and operational efficiencies that we're pushing at our mines. In the lower half of the slide, the details of our actual six-months free cash flow before tax, financing and working capital. 59% of our target we recognized and as everybody is aware, the current gold price would put a bit of pressure on that in the second half of the year. But nevertheless, very good results through year-to-date. Over on slide six, some of the detailing behind our all-in sustaining cost for the quarter itself. We've got the corporate G&A at 4.5 million, that's the run rate, typical and in line with Q1. Our sustaining capital of 13 million includes waste capital and ongoing underground development of approximately 8 million depending on how that is reported, some depending on accounting policies, some will keep that in cash cost, sometimes it finds its way into sustaining capital. But we like to present it in sustaining capital and it sets down to our all-in sustaining margin of 38 million and inclusive of these, we get to the 898 per ounce. Finally, on slide seven, the reconciliation of our cash positioning, giving insight into just how the figures we presented worked its way into our cash. We see the all-in sustaining margin coming in. We have non-sustaining capital investments, which is made up primarily of the Hounde expenditures, as well non-sustaining exploration. We had the working capital change net effects on our payables, inventories and so on. We see the other components, which get us to a cash generation in the quarter before exceptional items of 16 million and with that reviewed, we decided to make the voluntary RCF revolver paydown in April of 20 million. And, of course, subsequent to the quarter, a second 20 million as per one of our five goals for the year to reduce debt on our balance sheet, ending the quarter very nicely at nearly $53 million in the bank. And with that, I'd like to hand it over to Attie for a walk-through of our four operations.
Attie Roux: Okay. Thanks, Ota. We can start on slide eight with Agbaou mining, Ivory Coast. If we look at the statistics, Agbaou continued its good steady performance for the year. This is mainly driven by the continued availability of the more friendly saprolitic and lateritic ores that we’re currently getting. And that has resulted from a very successful ongoing exploration program that we’ve been doing for the last number of years. The 2015 Phase 1 exploration program that we're currently busy with has generated net gains in new oxides mineralization and that's become the focus of the Phase 2 program for the rest of the year. So, overall a very good result. We turn to page nine, Nzema gold mine in Ghana. Again, looking at the statistics, after a fairly challenging quarter one, Nzema had a significant turnaround quarter-on-quarter as you can see from the numbers, with good improvements in the milling rate. The grade’s been processed, recovery and also a good contribution from the tower [ph] materials. This ore reflects through into the ounces and the all-in sustaining cost margin. And we're expecting this good performance going forward in the rest of the year. If we turn the page to page 10, talking about Tabakoto gold mine in Mali, and also looking at the numbers here. As Neil alluded to earlier, the team at Tabakoto made a significant step forward with a good quarter-on-quarter improvement. We’re now seeing some improved grades coming from the Segala mine and also very good contributions from the new Kofi open-pit mine. The mine has moved from a capital investment phase to an optimization and stability phase now, which will improve the flexibility as we gain access to a better mix of materials going forward. So, overall, a good performance from Tabakoto. Turning the page to page 11, talking about Youga gold mine in Burkina. Again, Youga had another good steady quarter, but as we can see from especially the grade, as expected we're now seeing the lower grades coming through from the new pits at Zergore and that we will see that going forward through the rest of the year, and we’ll keep an eye on that. And with that, I want to hand it back to Neil for concluding remarks.
Neil Woodyer: Thanks, Attie. Well, I think the conclusion remarks are shown on slide number 12. And essentially for the year, we've had stated five key objectives and we're making very strong progress in the first half year to reach to these objectives. Our first objective is the production objective of 475,000 to 500,000 ounces for the year. In the half year, we produced 255,000 ounces. So we're on projection there to come in at the higher end of our guidance. Our other very important objective is to reduce our all-in sustaining costs and our guidance was 930 to 980. Through the continued optimization of our production and some of the benefits coming through from fuel and also from foreign exchange, the Q2 costs were just about 900 and we’re quite comfortable at maintaining guidance for the year of 930 to 980 for the year. Our third objective is to be profitable; to be a profitable company for our shareholders. Well, so far in 2015, in the half year we produced net income after tax of $50 million. Also another objective is to strengthen our balance sheet by reducing our debt, using our free cash flow to do that. And we have now made two payments each of 20 million, reducing the amount drawn under our revolver. Our fifth and final objective is to extend the mine life through exploration successes. And we’re certainly, in our results for the first half year of exploration, within those objectives. So we look forward to achieving all five objectives during the course of the year, and therefore being a successful, growing intermediate gold producer, producing free cash flow even in this poor gold market. So I think we're positioning the company for our shareholder value going forward. We've had a number now with quarters of successful production, cost saving, profitability and reduced debt and increasing mine lives and we expect to continue that for the rest of the year. That is the formal part of the update of our Q2 results. So, operator, if you could arrange for Q&A, we'll take whatever questions people throw at us.
Operator: Thank you, sir. We’ll now conduct our question-and-answer session. [Operator Instructions] Our first question comes from Rahul Paul with Canaccord Genuity. Please state your question.
Rahul Paul: Hi, everyone. Congratulations on another great quarter. Now looking at your debt covenants, specifically the interest cover, net debt to EBITDA and minimum tangible net worth, I'm just wondering if you've done any sensitivity testing at different gold prices. So I'm just wondering, at what gold price would there be a problem?
Neil Woodyer: We have looked at that and started looking at that on the EBITDA over financial expense, the interest cover, down below $1,000 at about - below 950 actually, because it's on a rolling basis. It would give us concern below 950 a year out.
Rahul Paul: Okay. So you still have quite a bit of room then?
Neil Woodyer: Quite a bit of room, yes. We're at 1.5 right now on the net debt to EBITDA. And then, of course, 3.5 is permitted still.
Rahul Paul: Okay. Thanks. Thanks for that. And then moving on to Tabakoto, overall nice improvement there, underground mining costs were $56 a tonne in Q2. Looks like they've been averaging in the 50s over the last few quarters. The last technical report that you published had a target of $34 a tonne at steady state. Is that still the target or has that changed in any way?
Attie Roux: Okay. Thanks. I'll take that. Yeah, if we look at especially this last quarter, there were two issues that we spent a bit more money on. One is at Segala on the cemented rockfill underground, we sped that up a little bit to get us into a comfortable situation. So we could see this a main cost going up a bit, but that's expected to come down in this quarter, which will normalize the cost again. And we look at the low to mid-40s as an ongoing underground cost.
Rahul Paul: Okay, okay. That's helpful. And is that increase driven by more development being expensed then as opposed to capitalized or is there any other factor that's driving that?
Attie Roux: Nothing specifically. We still had to hear through the definitions of why or what is sustaining capital and what's not sustaining. So there’s no change in our philosophy of allocating the costs according to that.
Rahul Paul: Okay. Thanks, Attie. So, if you see a target as the mid-to-low 40s, what sort of a timeline in order to get there? Do you expect to get there sort of in the next quarter or is it going to take a little more time to normalize?
Attie Roux: No. It should be towards the end of this next quarter, we’ll be there. It was just a phasing thing here that we had to go through.
Rahul Paul: Okay, perfect. So then I mean, I guess, going into the second half of the year, you would have the benefit of both grades going up at all your three sources and also the site cost coming down a little bit?
Attie Roux: Correct.
Rahul Paul: Okay. And then the third - last question, I'm just wondering if you could talk a bit more about the exploration program at Agbaou and based on the success you're seeing, I didn't see any drill results with the MD&A. But I guess you highlighted some success that you've had. So just wondering, based on the success that you're seeing so far, do you think you would be able to replace depletion or meaningfully at oxide reserves by year-end?
Attie Roux: Okay. Thanks, Rahul. I'll answer that. Yes, our objective is minimum to replace the depletion. We’re also trying to target more oxides, which obviously will benefit us in the current scenario where you have dire consequence in the oxides and saprolites, and that's really the target. And from the Phase 1 results that we've done through the first half up to now, it’s certainly given us comfort that we will be able to achieve that by year-end.
Rahul Paul: Okay. Thanks so much. That's all the questions that I had. Congratulations again on a nice quarter.
Attie Roux: Okay.
Neil Woodyer: Thank you, Rahul.
Operator: Thank you. Our next question comes from Nana Sangmuah with Clarus Securities. Please state your question.
Nana Sangmuah: Congratulations gentlemen for a great quarter. A couple of questions, probably starting with Ota, in terms of the reassessment of the deferred tax expense. If you could just explain how all the flow through impacted the add-ins for those quarter and next - and the previous quarter. And should we be expecting any reassessments going forward?
Ota Hally: Yeah. Thank you for that. The deferred tax actually doesn't have anything to do with reassessments. There are accounting timing differences and definitely we have had some one-time items as well at this time of year typically, very typically in Q2 we finalize the returns and calculate all the tax bases for the prior year. So I would say those - this will not count on that deferred tax recoveries in future quarters. We would expect more neutral going forward. As far as the actual tax assessments that we discussed at year-end, there has been no material updates to those, we're still engaging with all the authorities or the Malian tax authority to get through that with them.
Nana Sangmuah: Great. And given that you - currently way below cost guidance for the first half of the year, I'm sort of baffled why the guidance is not being reviewed lower, should we be expecting higher cost for the latter end of the year?
Ota Hally: Well, others can speak to this, but in my mind one of the items, as we've said, we've had a lot of good operational improvements actually driving unit cost down at the mines. But as well we are benefiting from the fuel and FX benefits that we're seeing, which make up about half that reduction from prior year. So to me with the externals being about half of that, without those it puts us right into that range. And I think that's one strong argument for keeping the guidance as is.
Nana Sangmuah: Great. And maybe lastly, some of the production questions concerning grade. Could you provide a bit of guidance on what to expect from the various deposits at Tabakoto, i.e., Kofi C, Segala and Tabakoto itself going forward in Q3 and Q4? Should we be expecting a further increase in grades as we've seen in this quarter?
Attie Roux: Okay, thanks. I’ll take that. Yeah, I think if we look at the improvement in grade profile from quarter one to quarter two, we would like to be in the mid-3 range as far grade concerns. So we will further it [ph] significantly towards that. And as we know, the Segala deposit specifically improves with depth. So as we were down, we expected the grade will further improve. But we see much of the same sort of grade coming from Tabakoto specifically. And also we hope to see a better grade coming from the Kofi deposit as we go deeper as well. So overall, for the rest of the year, we see more of the same and maybe a bit of improvement in the grade towards the year.
Nana Sangmuah: Great. And then I think the final question concerning Youga, the grade has been trending down. Should we be expecting further declines and any potential impact on cost pickup?
Attie Roux: Look, obviously, we all knew that Youga has been to go down in grade as we finished the mine pits and moved to the satellite deposits. We are getting very close to the average grade of those deposits now. And, yeah, I see the same sort of grade moving sideways. Obviously, it will have an impact on the overall economics, but it's something that we need to address as part of our continued optimization programs on the various mines.
Nana Sangmuah: Okay. And as a final question, I think the previous caller sort of touched on it, but would we be expecting exploration results from Agbaou, Tabakoto anytime soon?
Neil Woodyer: We may be issuing a press release just giving a quick update on the first quarter's - our first half year's program and we're looking to see the information that's available to do that.
Nana Sangmuah: Okay.
Neil Woodyer: It's very much in line with what will serve replacement reserves.
Nana Sangmuah: Thanks a lot. That wraps it up for me. Congratulations once again.
Attie Roux: Okay, thanks.
Neil Woodyer: Thanks very much.
Nana Sangmuah: Thank you.
Operator: Thank you. Our next question comes from Tara Hassan with Haywood Securities. Please state your question.
Tara Hassan: Good morning gentlemen. Congrats on a solid quarter. A few questions here. The first is touching on exploration as well, but Tabakoto, I mean obviously Kofi C has been a pretty meaningful part of the production profile, an improvement at Tabakoto, but the light there isn't particularly long. So what are you doing in terms of how much exploration will be focused there this year to prove up more at Kofi C and some of the other deposits at Kofi as well?
Attie Roux: Okay, maybe I'll take that one. Hi, Tara. As you know, there’s quite a number of deposits in the Kofi permit area, in total eight. We have already drilled up one of the other deposits in pure reserve status and we are busy drilling up a third one as part of our long-term exploration program in that area. So we are making sure that we are covering the basis as far as continuity there is concerned.
Tara Hassan: Okay. That's great. And so would that be part of a potential exploration update, then the results from that drilling?
Attie Roux: I think maybe not now, but towards the end of the year.
Tara Hassan: Okay.
Attie Roux: Very clear [ph] we’ll have more on that.
Tara Hassan: And how much of the budget are you spending there versus like a Kofi versus the underground deposits?
Attie Roux: I think if you look as a percentage of fundamentally the total dollars, but as a percentage about one-third of the total cost of the underground exploration.
Tara Hassan: Okay, perfect. And then just touching on Nzema, can you walk through that - like reconcile the ore payments for the purchased ore versus what was produced. Like was there - it seems like a fairly large payment in relation to the 5,000 ounces that was noted in the table, is there like a larger stockpile there or is that a carryover from the previous quarter?
Attie Roux: I think if you look at the - sorry, do you want to take it, Ota?
Ota Hally: Well, I was just going to start on slide 14, there is the purchased ore, it doesn't really go into any stockpiles, Tara. We purchased it, we pay on percentage of the gold content. And what you see there is the cost of the ore that went through and we had, and Attie can speak to this a little more, but we have good availability right now. So we are taking advantage of it.
Tara Hassan: So with all of that -
Attie Roux: No, we don’t -
Tara Hassan: Sorry. Go ahead, Attie, sorry.
Attie Roux: Sorry. Carry on.
Neil Woodyer: Yeah. Go ahead, Attie.
Attie Roux: What I was going to say is that we don't necessarily stockpile it to have an even peak, we treat it as we receive it and we account for it accordingly. And it’s basically accounted for in the same month that we receive and process it. So, yeah, it's not really part of the big stockpile.
Tara Hassan: Okay, it just seems - because it was - I think was it a $10 million charge and then 5,000 ounces that was produced from the purchased ore?
Attie Roux: I'm not sure. Ota, do you have anything on that?
Ota Hally: I'll get back to you on that one. Let me look through that and make sure nothing is stuck in there, but I can get back to you on that after the call.
Tara Hassan: Okay. That's perfect. Thanks. And I mean just talking on supply, meaning - you touched on it, Ota, but I know previously there were some discussions that there was other sources available potentially. How much clarity do you have or how much comfort do you have that you can continue with these arrangements or strike new arrangements going into 2016?
Attie Roux: Look, I think we've got quite good confidence here. We continuously go and analyze the resources and the reserves, if you want to call it that. So our geologists go there and we sit with them and we look at their results and what they have available. So as far as the latest analysis we've done, we believe there is enough material to see us through the next 6 to 12 months. And we know that there are other newer suppliers also coming into the market. And we will be exploring those as well.
Tara Hassan: Okay. Perfect. And just a final question on Hounde, it’s obviously a great project and one that would potentially change the story a lot like Agbaou, but we're in a pretty tricky gold environment here. So is that changing the way you’re thinking either in terms of timing of decision or possible options you’re considering to fund the project?
Neil Woodyer: We’re looking at various options to fund it and we’re obviously very with where the gold price is. So we’re in country now doing all the proprietary work, doing all the work necessary to look to production decision around about the end of the year. The bigger variable is undoubtedly the gold price and we just have to see where we are at later in the year. We are looking towards different financing options and alternatives policy you go through the year.
Tara Hassan: Okay. And I mean, are they options - I know that previously, Neil, you had mentioned bringing in a partner, considering streaming, basically every option was on the table. And is that still how you guys kind of view that?
Neil Woodyer: I think in principle every option is on the table, I mean rightly you should see. Some are more favorable than others and I think it really is making sure that we are in a position to go, if the market gives us that opportunity. So, yeah, everything is on the table, but preference is larger [ph] than others.
Tara Hassan: For sure. And just a final question there was, I noted you guys put some fuel price protection in the quarter. I mean what's driving that for you and what you’re feeling on supply and pricing in Mali. I know sometimes it takes a long time to flow through. But we've seen a pretty big drop in fuel prices in July, and how can that kind of flow through to your cost, I guess.
Ota Hally: Yeah. As we disclosed, it does - it was driven by about 50% of the consumed fuel in Mali, where we generate our own power. And we just felt that with the pricing being where it is, wanting to preserve some of that benefit went ahead with the 50% of the approximate consumption program for one year.
Tara Hassan: Okay, perfect. That's great. Thank you so much.
Ota Hally: Thanks.
Neil Woodyer: Thanks, Tara.
Operator: Thank you. [Operator Instructions] Next question comes from Chris Thompson with Raymond James. Please state your question.
Chris Thompson: Good morning guys. Congratulations on a good quarter. I’ve got a number of questions, a number actually were answered by previous callers. But firstly at Agbaou, could you just comment on the grades there? I did notice that they were a little lower, I guess, from the Q1 grades. What should we sort of have been modeling, I guess, in the near term at Agbaou?
Attie Roux: Okay, thanks. Chris, I'll answer that. Yeah, I think if you look at the grades, you're quite correct. It's a bit down from the first quarter. I think the point to remember is that this quarter is still above the budget, the original forecasted number, so as is the recovery and obviously the answers as well. So I think we can expect more of the - somewhere between the two quarters sort of grade going forward for the rest of the year. And as I mentioned earlier in the presentation that our continued exploration program is continuously yielding more oxides and saprolites, which is the easier material and has the slightly higher grades as well. So I think for the rest of the year one can look at somewhere between those two sort of grades.
Chris Thompson: Thanks for that, Attie. And just can you just remind us again what is the mine plan called for by way of when you should start or you're going to be starting to process fresh ore?
Attie Roux: Yeah. It’s a moving target. As we generate more oxides, obviously, you will process the easy material earlier. But it is towards the end of next year that it starts getting into a meaningful percentage of the total mix. The plan is not to end up with a situation where you only have that. And that's why we have the continued exploration is to make sure that we always have a decent mix and that's the benefit of the easy material plus the more difficult material.
Chris Thompson: Good. Thanks. Thanks, Attie. Just moving on to Tabakoto, maybe just a comment on dilution at Tabakoto underground and Segala, how is that holding up?
Attie Roux: Yeah. That's one thing that you need to keep track of all the time. We're trying to manage it as best we can, obviously, but in the designs of how you mine the stopes. And obviously with Segala, the deeper you go, the less devolution will be because they are the more confined ore bodies. And that's why we're expecting the grade to be better as we'd seen from the drilling. So, yeah, we're managing the dilution as best you can to the minimum according to our designs.
Chris Thompson: Okay. Looking at the underground grade, again, is that a realistic figure to don into our models in the near term, maybe in the next quarter before we see an increase in grade at depth from Segala?
Attie Roux: Yeah. I think so. I think it's a fair number to use. And as I said earlier, we're expecting it to improve towards the end of the year.
Chris Thompson: Okay, right. And just if you could just get back to me also, I know there was a question relating to the purchased ore at Nzema. I wouldn’t mind just the same sort of answer, if you wouldn’t mind. And then finally just overall, can you highlight any focus, any direct focus, I guess, in the near term for many of the operations just bringing down costs even further just based on the current status of the gold market. Anything sort of jump out as the priority?
Attie Roux: Ota, do you want to talk or shall I?
Ota Hally: Go ahead, Attie. Yeah, you go first.
Attie Roux: Okay.
Ota Hally: Yeah, get your list.
Attie Roux: Okay, yeah. As we've mentioned, we've started fairly early with all our cost management exercises over the last period of time. So we've been active, for us it's not an easier if it’s an ongoing process. We’re continuously looking at where we can benefit from any initiative. But obviously going forward, one needs to make sure that you benefit from the things like the exchange rate, things like getting the best fuel prices. We’re negotiating with the suppliers on our payment terms, negotiating grades and prices very, very strongly with the suppliers. And we’ve been very successful with that. And I think the thing that’s driven this is the central purchasing facility that we’ve now installed for the group, which is run from my office in Accra. We've had some significant benefit from the muscle of buying four mines rather than one mine. So these are the sort of initiatives that we carry forward and not forgetting looking at labor as well.
Chris Thompson: Great. Okay. Good answer. Thank you for that.
Operator: Thank you. Our next question comes from Rahul Paul with Canaccord Genuity. Please state your question.
Rahul Paul: Hi guys, just a follow-up on Kofi C. My understanding was that you started mining with the satellite material. Just wondering, at what point do you expect to be mining hard rock at Kofi C?
Attie Roux: Okay, Rahul. Yeah, you are right. Obviously, you start at the steps [ph]. [00:37:05] We have started the encountering, I wouldn't call it hard rock yet, something goes off harder material, mostly lateritic encounters, which in cases you have to break ore with a minimal blast sometimes. But I think in the next period towards the end of the year, we should start seeing some areas where we have to do a bit of drill and blast.
Rahul Paul: Okay. What sort of an impact - I’ve noticed that mining costs, especially the open-pit mining costs, have been somewhat low of late like at Tabakoto, Q2 it was 225 and I'm assuming that's part of the benefit. So what would you expect to be the impact when you get to sort of 100% hard rock?
Attie Roux: Yeah. I can't give you the off-hand number. I can get back to you on it, but yeah we're expecting the drill and blast obviously to increase the cost for the three weeks. But it's in line with what we budgeted as part of the planning cycle. So we don't see any significant increase above what we - that we budgeted to incur.
Rahul Paul: Okay. And from a recovery/throughput standpoint at the mill, do you expect any difference?
Attie Roux: No, not really. I think we're seeing a little bit of a benefit in having the soft ore taking a bit of a free ride through especially the crushing circuit and the mill to a certain extent. But, yeah, we don't believe that it will have a negative impact. We believe that the material will be okay and it will be according to our life of mine plan as far as processing is concerned.
Rahul Paul: Okay. Thanks for that. And that's all that I had.
Attie Roux: Okay.
Operator: Thank you. [Operator Instructions] Our next question comes from Michael Stoner with Peel Hunt. Please state your question.
Michael Stoner: Thanks for the call gents. I had one question on the debt covenants. You mentioned that below $950 an ounce you’d have some concern on kind of a 12-month view, presumably if we get there. There's levers that you can pull to adjust the mine plans that could then push back concern out further. Could you touch upon potentially what you could or couldn't do in those scenarios, please?
Neil Woodyer: I think in those scenarios we’ll be anticipating that and we’d be looking at all the discretionary expenditures that we have on the capital side as to what can be delayed and where we can reduce capital. We'd be looking at reducing working capital. We'd be looking, as Attie said, that the success we’ve had in the country buying and perhaps we'd be looking very much at the [indiscernible]. And we would look at our contractor base. If you look at our top contractors, they’d have about 80% of the value of our supplies. Those are the kind of areas we would go to, to bring down costs even further. When we did this in the past, we've been very successful and the gold price came down. We changed through the profile of the business by expansion at the underground at Tabakoto and Kofi to bring unit cost down and we need carrying the same kind of way. We haven't cut to the bone. We haven't gone to a situation of selective high grading or anything like that by changing our process and methods. But at one point, you’d have to start looking at these.
Michael Stoner: Okay, perfect.
Neil Woodyer: But we’re nowhere near that kind of point now and at 950 we think we can make savings.
Michael Stoner: So you’d believe there to be plenty of headroom before you even have to consider adjustments of mine plan.
Neil Woodyer: I think and plenty may not be the right word, but -
Michael Stoner: Yeah, plenty is generous, but -
Neil Woodyer: We would start that phase. Yeah.
Michael Stoner: Perfect. Cheers now.
Neil Woodyer: Got room to go.
Michael Stoner: Thank you.
Neil Woodyer: Thanks.
Operator: Thank you. There are no further questions at this time. I'll now turn the conference back to management for closing remarks. Thank you.
Neil Woodyer: Thank you. We appreciate your attendance. We appreciate the reports that you write and we appreciate your questions. I can assure you that we're all very concerned about the gold price. We believe the best hedge against that is to reduce our costs as we have in the past and we will continue to do so. We will also continue to look at our capital and very much reduced now. We’ll continue to look at our working capital. We are confident of achieving our objectives, our five objectives for the year, but we're also conscious that these are not good markets either from an equity point of view or from a gold point of view. But we will continue to look for areas to increase shareholder value. That's our mandate and we will diligently stick to it. So thank you very much, ladies and gentlemen, for the conference and support you are giving us and we will continue to do what we should do. Thank you.
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a wonderful day.